Operator: Thank you for standing by. This is the conference operator. Welcome to the Algonquin Power & Utilities Corp. 2016 third quarter conference call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Christopher Jarratt, Vice Chair of Algonquin Power & Utilities Corporation. Please go ahead, Mr. Jarratt.
Christopher Jarratt: Good morning, everyone. Thanks for joining us on our 2016 third quarter conference call. My name is Chris Jarratt. I am the Vice Chair of Algonquin Power & Utilities Corp and joining me on the call today are Ian Robertson, our Chief Executive Officer and David Bronicheski, our Chief Financial Officer. For this earnings call, we have a supplemental webcast presentation that you can access from our website. Please go to our home page, where you will access instructions and additional information on our Q3 2016 results. Today we'll be providing information that relates to future events and expected financial positions, which should be considered forward-looking and I direct you to review our full disclosure on forward-looking information and non-GAAP financial measures also available on our website. We will read the full disclosure at the end of the call. This morning, Ian will discuss our third quarter growth highlights, David will follow with our financial highlights and then Ian will conclude with a few thoughts on the events of this week and with our outlook for the remainder of 2016 and early 2017/ We will open the lines for questions. At the end of our earnings presentation and I would ask that you restrict your questions to two and then re-queue to allow others the opportunity to participate. I also like to add that given today is November 11, in the event the call extends to 11 AM, we will be observing a moment of silence in recognition of Remembrance Day. Now I would like to turn things over to Ian to present our third quarter growth highlight.
Ian Robertson: Thanks Chris and good morning, everyone. Thanks for dialing in today. We're speaking to you from our Head Office here in Oakville where it's a windy and sunny day. So I guess that's good for us in the wind and solar energy business. As Chris said, just want to reiterate the importance of today as Remembrance Day and so we're obviously mindful of this in terms of scheduling our call. While the call rarely goes over an hour, I just want to repeat that I think out of respect that at 11 'O Clock we'll hold the call for a couple of minutes of silence. So with that said, I'll start out with a review of the main highlights from our businesses in Q3. While David will detail our financial results later in the call, I think we see the company as being 3-3 this year in terms of delivering another quarter of reliable financial performance in 2016. $91 million or so in adjusted EBITDA represent 30% over what we did this quarter last year. We posted solid quarter-over-quarter growth in adjusted funds from operations and adjusted per-share earnings of 12% and 50% respectively. Given the importance of growth in terms of dealing with potentially rising interest rates we saw Q3 as meeting some important milestones in terms of our growth. Within the non-regulated generation business group we brought the 200 megawatt Odell wind facility into commercial operation in July. September 15 saw us consolidating the entire project with the acquisition of 100% of the interest in the Odell facility. I'm also pleased with the progress that's being made at our 75 megawatt Amherst Island Wind Project. Subsequent to the end of Q3 we issued a Notice of Commencement of Construction to the permitting authorities. The notice advises of our intention to start certain construction activities and while work is expected to commence shortly on the docks needed to access the island, the balance of construction activities will commence following the completion of certain consultation and planning as contemplated in our permitting agreements. As always we thank our partners and the development team for the dedication in Amherst. Within our rate regulated distribution business, we're pleased to report that efforts to complete our merger with the Empire District Electric Company are progressing in line with our expectations and we expect to complete that acquisition in early 2017. In September specifically with Empire in September, the Missouri Public Service Commission issued an order approving the transaction in the Arkansas Public Service Commission approved the joint stipulation and settlement agreement recommending approval of the merger. The final approval to complete the transaction is required from the State of Kansas. On October 7 a stipulation agreement between Algonquin Power and Utilities Corp., Empire District Electric Company and the Kansas corporation commission staff was reached, and on Wednesday of this week, the Kansas State regulator held a short hearing to review the unanimous stipulation agreement. We're hopeful that an order from Kansas approving the transaction will be received before the end of year. With those highlights David, I'll turn things over to you to speak about the Q3 financial results.
David Bronicheski: Thanks Ian and good morning, everybody. We're pleased to have reported solid financial results for the third quarter of 2016 as Ian mentioned. Our adjusted EBITDA in the quarter $91.4 million represented a 30% increase over the amount we reported last year in 2015 for the same quarter. We saw good contributions from both our generation and distribution businesses and the success of our growth program was clearly in evidence in our improved performance. When we look at Q3 compared to the same period last year, increase in EBITDA was largely due to our newest regulated utility, we're happy to have in the fold. Park water added $16.5 million of EBITDA over the same period last year. But we also saw contributions from our newest wind farm Odell, which was commissioned in the quarter and that contributed $2.5 million in additional EBITDA, so all in all a very successful quarter. Our adjusted earnings per share grew by $0.03 to $0.09 per share over Q3 2015 and our funds from operations increased to $61 million a 12% increase over the same quarter last year. It's also been a busy year for our treasury group. As most people on the call know we've satisfied our equity capital needs for 2016 including the equity we require for Empire acquisition, the $1.15 billion in the debentures we raised back in February are expected to convert to equity as we closed the Empire transaction. We've also moved to lock in the U.S. foreign exchange rate on more of this equity financing this quarter. All in all, we have now locked in the exchange rate on nearly 75% of our equity financing at an average exchange rate of U.S. $1.32. In addition with the greater visibility that we have today on the expected timing of the Empire acquisition, our treasury group moved to enter into hedges to fix the underlying rates for U.S. $500 million of the anticipated debt financing. The hedges mature on February 13, 2017 and consist of forward purchase contracts of U.S. $250 million of 10-year U.S. treasuries at a very attractive, especially with the events of this week 1.84% and U.S. $250 million of 30-year U.S. treasuries at approximately 2.55%. Finally with the COD of Odell we are pleased to have completed our tax equity financing of approximately U.S. $180 million back in August. I'll now turn things back over to Ian.
Ian Robertson: Thanks Davis. Given the outcome of the recent election in the U.S. I wanted to offer a couple of thoughts regarding three factors that might be perceived as impacting our business. The incoming U.S. administration support for renewable energy, the threat of growing protectionism and perhaps the prospect of lower corporate tax rates. So starting with renewable energy and on behalf of renewable energy I'll start by saying as Mark Twain equipped, the reports of my death have been greatly exaggerated. I think for the near-term business prospects of Algonquin are more than $0.5 billion pipeline of contractor renewal energy growth opportunities will proceed as contemplated, construction of our Deerfield wind and Bakersfield solar projects are nearly complete and our 75 megawatt Great Bay solar projects has advanced toward completion next year. While these projects are supported by the existing tax legislation that was passed last year with bipartisan support, I will observe that none of these opportunities rely on the future of the clean power plan. As we look toward the future of renewable energy, actually I don't see the election trail comments of the Trump administration as threatening that future. The straight out economics of wind energy, the most prevalent form of renewable energy make it the most competitive form of generation in today's market and I mean that against coal, natural gas, nuclear and without any new tax subsidies or greenhouse gas curtailment from the clean power plan, I think Trump made a number of promises during the election campaign to quote, "in the war on coal". Good news is I think he's right, the war is over. The bad news at least for coal is that coal lost. The abundance of low-cost natural gas married was even cheaper wind energy without any new tax subsidy support has and will continue to overwhelm the economics of coal. Forgetting that it's the right thing to do societally, renewable supported by natural gas win on cost alone. Secondly, with respect to the thought of growing protectionism around we'll call it Fort America, I would point out that Algonquin as the business is actually inside the Fort. I appreciate the anxiety that must exist in the minds of leaders of businesses that export their products from outside the U.S. into the U.S. but I'll tell you that's not Algonquin. Our utility and power business is based on producing our goods and services in America by Americans sold to Americans. To be frank, even if that wall that Trump talked about was built on the north side of America as well as on the south side, I don't think it would impact our business particularly much. Interestingly we had observed that Algonquin shares represent American business prospects priced in Canadian dollars. If anything you think the recent strength of the U.S. dollar and the expectation of renewed U.S. economic prosperity should have sent Algonquin shares up. Anyway with respect to recently rising bond yields, I believe our strong growth trajectory negates the impact of rising interest rates and lastly David perhaps you could comment a little bit on hopeful prospect of lower corporate taxes in the U.S. which was promised during the campaign.
David Bronicheski: Sure. Well I think what I can say initially is when it comes to taxes, there is certainly a lot of speculation on what the Trump administration may try to change in the passcode during the first session of Congress, but I think it's fair to say that the emerging theme is that there will be in one manner or another lower U.S. corporate taxes and certainly I think our view is that with over 80% and soon to be over 90% of our business in the U.S. , U.S. corporate tax rates if they are lower, will end up being a net positive for our overall business in the United States. We have a substantial unregulated business and obviously that business will benefit directly from lower taxes. Even in our regulated business, taxes are passed through expense to customers, but lower taxes that will then indirectly provide headroom for additional investment in our U.S. utilities. And then the fact that we are a Canadian company even with lower U.S. tax rates will still have the benefits of cross-border financings to avail ourselves of various strategies that we along with most foreign-based companies operating in the U.S. currently utilized to optimizer cost of capital. But I'll just end by saying that until really we have greater clarity on what ultimately gets enacted by congress really is just speculation on what this might mean to anyone's business.
Ian Robertson: Thanks David, but I guess in summary, it's hard not to see lower taxes is a good thing from a corporate perspective. Lastly before we go to the outlook, I wanted to put a couple of thoughts regarding the ability of renewal energy to prevail into context for Algonquin's business. Part of the thesis underpinning our investment in Empire is the opportunity to quote "green the Empire electric generation fleet". The ability to realize on that opportunity was never premised on the implementation of the clean power plan or frankly any other federal or state initiative support renewable energy. It was and remains premise on the strategy of investing in assets to deliver the lowest cost energy for Empire's customers. Thus no longer accomplished frankly by burning coal, it's accomplished through new investment and a combination of wind energy and natural gas generation, two areas, which are core competencies for Algonquin and Empire respectively and part of the skill set synergy that we anticipated in our merger. Accordingly we remain bullish on the significant investment opportunity that can be realized by the displacement/replacement of energy from coal in a manner that lowers customer's bills and as an inducement to attend we'll be providing specifics on the growth that we believe is available within Empire at our Investor Day, which is scheduled to be held on November 29 later this month. So lastly I understand that everyone on this call and perhaps more broadly in the market is encountering new variables that need to be worked through in the calculus of their investment decisions. The uncertainty around these forces has had a noticeable and frankly disappointing impact on share prices of the utility participants and I guess in particular ours. I think you can see that our results show -- continue to show strong progress against our growth plan and we have more to come. We continue to have a pipeline of opportunities ahead of us and remain confident that we're strategically positioned for continued growth as a very solid base of long-lived assets. Specifically our 2016 capital plan is nearing completion much of it relates to the 160 megawatt of contracted wind and solar generation, which remains under construction within our generation business group and which is targeted to be online in the next couple of months. Within our regulated distribution business, we currently have U.S. $28 million in rate cases being prosecuted across seven of our 13 jurisdictions in the U.S. On the Capital Market front, we outlined in our MDNA this quarter that we are finalizing our application to lift Algonquin's common shares in the New York Stock Exchange. For those of you familiar with the company you'll recall that it's something we've been considering for some time now. We believe it holds benefit for our many US-based employees to participate in our stock purchase plan and of course in strengthening our connections into US-based retail institutional investors, including frankly the current shareholders of Empire District. I outlined previously that we believe there's strong economic arguments to be made for the continued growth in renewable energy and our ability to capitalize on it, on these undeniable economics. Our focus on building our pipeline in this area will continue unabated and finally on the entire front, the level excitement around the close of this size transformative transaction is building within in our house and I’m sure the same thing is happening down in Joplin as we await a final decision in Kansas we'll work smoothly and diligently with Empire's management team to make sure that the integration and transition for Empires customers and personnel like happens in a seamless way. We believe that the growth opportunities that are available with Empire are important part of our long-term growth plan. And with that we will open the line up for the question-and-answer session and just before we do it, I just wanted to kind of reiterate if we extend through 11 O’ clock this morning want to remind everyone that other respect for those who have given and continue to give to allow us the freedom have calls like this we’ll be serving our two moments of silence. So with that operator perhaps you can open it up the lines up for questions.
Operator: Thank you. We'll now begin the question-and-answer session. [Operator Instructions] Our first question comes from Rob Hope with Scotia Bank. Please go ahead.
Rob Hope: Yes. Thank you. Good morning, everyone. I was hoping you could provide some additional color on your discussions with the Saskatchewan Government regarding Chaplin and what steps need to get that project moving forward and whether or not you have secured an additional site?
Ian Robertson: Sure Rob. So I think the discussions to be frank have not been as much with the Saskatchewan Government as I guess more specifically with SaskPower, which I guess maybe one and the same. We've negotiated the terms of whatever administrative amendment that need to be made to our power purchase agreement to allow the site to be reconfigured and frankly the reconfiguration involves shifting it away from the sensitive sighting areas that were identified by the Ministry of Environment. The broad terms of that have been reached. I think we expect that to proceed with whatever additional permitting that needs to be done on the new site, which is to the West of the existing site. What it has occasioned as you’ll notice from our MD&A is the delay in the expected COD date to 2019, 2020 from 2018, 2019 and that’s frankly just the incremental bird studies etcetera that need to be done for the new site. So perhaps to be specifically response to your question yes, we have a land secured and a site for this reconfiguration and so we're kind of moving purposefully toward continuing the work necessary to build the site I think one of the things I will point out maybe this is a little bit of a blessing in disguise the shift of Chaplain downstream time wise certainly opens up the latitude for us to aggressively exploit opportunities in the U.S. without taxing the organization and so from a development point of view. And I don’t know well it’s obviously disappointing that we're not jumping into the construction of Chaplin right now. It remains if you will in the development bank and we’re going continue to prosecute development just perhaps on a slightly slower timeframe. Rob is that responsive to what you’re looking for?
Rob Hope: Yes. That's great. Thank you. And then just in terms of my second question, could you provide an update on the steps to close empire post the Kansas approval? Just want to get a sense of whether or not we could see this earlier than your early Q1 statement if we get a positive approval from the KCC after Thanksgiving.
Ian Robertson: Well, I think actually to be frank, the steps following the Kansas City approval or the Kansas Commission approval are all pretty administrative in nature and so -- but I think there is actually now I guess a little bit of a philosophic issue here. Do you want to close the transaction on December 28 assuming that we get the commission's approval in early December and as you heard we had the hearing, it was positively uneventful, the orders being drafted right should the commission ask if we would draft and submit the order for their consideration. I don’t think we -- I think if we had our druthers we probably would close the transaction the 1 January rather than last day of December and part of it comes down to as much from the Empire shareholders perspective. They are all realizing a gain on this transaction just given the pricing of the takeover and this allows them to recognize that gain in 2017 i.e. not have to be reconciled with the U.S Government until 2018. And frankly I think it provide us some benefits of not having a stub year end in 2016. So all in all Rob I think even if the approval came in, in the first week of December, which we’ve got our fingers crossed for it you probably see it in the first couple of days of January of this year rather than in December.
Rob Hope: That's helpful. Thank you.
Ian Robertson: Thank for your questions.
Operator: The next question is from David Quezada with Raymond James. Please go ahead.
David Quezada: Thanks. Good morning, guys. My first question -- I believe on the last call you mentioned you were in the process of safe harboring projects to get that 100% wind tax credit that steps down at the end of this year. And I think you had indicated I guess a ballpark number of $50 million of down payments. I'm just wondering what kind of progress you've made on that number and if it's kind of unfolded the way you expected?
Ian Robertson: It has unfolded the way it is expected. To be frank we're probably looking at maybe upping that to $60 million in recognition of the opportunity, which we've really dug into over the past couple of month of building some incremental wind in Empire districts, service territories as you heard in my prepared comments with respect to the implications of the recent election the U.S on renewable energy. We actually think renewable energy as I said it’s just the right economics solution regardless of how administration views it and so we have selected the turbine vendors that we're safe harboring with and as I said I think we've probably become a little bit more bullish on that and increased it to $60 million.
David Quezada: Okay. Great. That's helpful. Thank you. And I guess for my second question, and I appreciate the specifics of this will probably come at the investor day, but once empire closes, just wondering if you'll be revisiting the capital plan that is in place there now and what's the right way to think about that?
Ian Robertson: Yes, for sure and in fact I think at our Investor Day we are going to give you details of that if I told you now you wouldn’t show up David and so that, but that has very much been the focus and I think as we articulated at the time of the acquisition of Empire that the CapEx Plan that was put forward was simply an adoption of the CapEx plan of the existing management team I think things are changing relatively quickly in the renewable energy space and certainly even in the smart grid space and I think that's occasioning opportunities to put more money to work to actually lower customers builds I think that the detail you’re going to hear in the 29 November.
David Quezada: Okay great. Thank you very much. Appreciated.
Ian Robertson: Thanks David.
Operator: The next question comes from Jeremy Rosenfield with the Industrial Alliance Securities. Please go ahead.
Jeremy Rosenfield: Great. I'll keep it to two as well and jump back in the queue. Just in terms of the rate case outlook, I saw the updates to the Arizona water rate cases. So I think there was a decision delivered or proposed decision that was delivered in California on CalPeco. Do you want to just comment on that? It came out yesterday. And then the outlook for the overall rate case is coming up in 2017.
Ian Robertson: Yes, I think well I start by saying Jeremy that you're correct that the proposed final order in California just recently came out. This is largely consistent with our expectations. I think the highlights on it are 10% ROE, which is obviously something we're comfortable with. 52.5% thickness from an equity perspective, if there is, there only tuck in pull has been on a method for managing the capitalization versus expensing and maintenance of repair expenses which is frankly kind of an initiative which a number of commissions across the U.S. are considering but all-in-all I think the orders generally consistent with what our expectations are will have the final approval hopefully not were at the 1 of December at the meeting – 1, December. But I will point and I think it’s important is that under the mechanisms that at working California this rate increases retroactive back to January 1 and so we haven't been able to frankly recognize that retroactive revenue just given the specifics of regulatory accounting but the nice thing is that will be a nice little. I’ll say it’s a one-time gain but the fact of the matter as you’re really should have been shown up in our Q1, Q2 and Q3 results so it’s really just to catch up but then will started to see the benefits that in Q4 so, is it which you’re looking for Jeremy?
Jeremy Rosenfield: Yes, and then I was just wondering in terms of the outlook for rate cases for you filing in 2017 in the coming year and big cases that you expect to be filing.
Ian Robertson: Well, I think the good news is our, we tried to give a some sort of color on the expectations of, kind of our rate case, our rate case plan I will say let’s say that there's nothing the massive that is pending been filed and in some respects maybe that's one of the great characteristics of our diversified portfolio. All of our regulatory eggs aren't in a single basket. They are -- we get to do this if you will abundant and singles around the bases is because we have are always in front of commissions in one or another of the jurisdictions we serve. And I think it provide us stability to the growth in our revenues and returns rather than having one single large rate case and the step function that would cause in terms of our earnings so, maybe that the short answer to your question Jeremy It’s going to just normal business course going forward with this sort of the kind of similar expectations that we had in 2015 and 2016.
Jeremy Rosenfield: Okay, thanks. I’ll get back in queue.
Ian Robertson: Yes. Thanks Jeremy.
Operator: The next question is from Nelson Ng with RBC Capital Markets. Please go ahead.
Nelson Ng: Great, thanks. First question is in terms of Park Water, I presume the Mountain Water results are included in the results. But I just want to clarify, what's the timing of selling Mountain Water to the city of Missoula.
Ian Robertson: Okay, so yes until we don't own it, we own it so that, your assumption is correct. To be frank the timing of the condemnation of mountain water is not in our control its totally in the control of that, of the city now. I will say that it's a little counterintuitive that the City hasn’t moved forward on that the condemnation. They to our knowledge, they have whatever led, whatever approvals that they require perhaps there having challenging with their bonding I sure the recent rise in interest rates obviously is helpful from the Cities perspective but we are spectators to the process. Right now and you were keeping our head down, providing reliable service to the City of Missoula and will just have to be Frank and Nelson wait to check shows up, the check shows up until that point in time we’re going to just keep doing what we do, which is being sort of reliable providers of essential services don't know what else to say.
Nelson Ng: Okay. So essentially all the approvals are in place and the city just needs to essentially cut you a check? Everything else is -- like they've paved the way, all the approvals are through. But in terms of…
Ian Robertson: Yep, but it sounds so simple when you say it just to kind of check obviously it’s a lot of work on behalf of the city bonding that they have to accomplish that these are structured as our understanding in the City anyway the structured as revenue bonds, which brings an entire set of considerations not general obligation bonds and in front of it I'm not going to understand what the constrains of the city are but you’re absolutely right in order I guess there, they got to come up with the cash until they do, I guess what are they said, it just continue doing what we do.
Nelson Ng: And then that, I think in your disclosures that $1.1 million of like in reduction of rates that doesn’t have anything to do it the condemnation right in terms of the…
Ian Robertson: No, that was an accommodation that we made in sort of building our regulatory relationship in the State of Montana. We obviously have to prepare and anticipate that maybe the city will or won’t buy this utility and we obviously want to have the constructive relationship with the Montana PSC in part of the settlement of that was to address that. Obviously I think, if you read that, that reduction in rates that $1.1 million in reduction rates it really only continued until we had an opportunity to present the full rate case in the next 18 months or so and I think we would be that we would have in some respects of blank sheet of paper for determination of appropriate rates in that Mountain Water company but it has really, frankly nothing to do with the condemnation.
Nelson Ng: Okay thanks and then my second question in terms of financing Empire what's the total amount of debt you need to raise, I understand that your hedged out $500 million so, what proportion of the total debt is at…
David Bronicheski: Hi Nelson I just to highlight it we have fixed interest rate of $500 million of the debt, we’re looking at approximately $600 million to $650 million of debt to round off the financing plan for a Empire. The Delta though will be, will be done at the shorter end of the maturity scale so, it because I think in the first couple years after we own Empire we look to do a little bit of the deleveraging and that will so that's why we only hedged out along that the 10s and 30s.
Nelson Ng: Okay, thanks David. I'll get back in queue.
David Bronicheski: Thanks, Nelson.
Operator: The next question is from [Robert] with CIBC World Markets. Please go ahead.
Robert: Hi, thanks very much for going over the situation in the U.S exchange but I’d like to see like – a little bit more and maybe can address what you think the cash flow implications are in the first year if tax rates are maturely reduced as contemplated in the present electrons platform?
Ian Robertson: Well, obviously it’s a positive Rob I mean to the extent that our utilities right now and I guess we have to sort of understand the timing of how tax rate decreases are put into effect and the implications of that in the context of our rate case timing but right now if magically that tax rates were to - we probably see an EPS increase because of the nature of the timing is probably can said share now the reality is that, it will really pay any cash taxes as, in the U.S are frankly in Canada so the tax rate for us is a little bit hypothetical but in the fullness of time it won’t be hypothetical. And that will turn into positive from a cash flow perspective. I think it's not an unreasonable observation, that in the regulated utility business taxes are up past use to the ratepayers and so to the extent that the taxes go down, the rate payers will ultimately have left of the provision built into their into their rates for those taxes maybe I might look at that is at least from our perspective and opportunity to accomplish some of the reliability and other investment initiatives that we have on the books. In a manner that creates no impact on rates as stand today. On the power generation portfolio we have in the U.S. the impact is obviously ultimately different, we to the extent and we let's just hypothesize that turns 15% corporate tax rate is what comes into effect. Well, obviously that's a significant savings from projects the economics of which are already defined and so that is going to be a net positive for us and so, I guess to be frank I‘d never quite understood as I read some of the reports that came out following the election how lower tax rates was ever a threat to our business. So Rob in terms of specifically quantifying it, a lot of it as I said comes down to when we were ultimately cash taxable both in Canada and the U.S. and as we continue to grow our business I'm not so sure that that taxability horizon isn’t something that keeps getting moved down the field and so, perhaps it's a little bit hypothetical at this stage.
Robert: Yes, just to clarify I agree with what you’re saying on the tax and it's pretty obvious on the customer build as well and the flexibility provides utility, I'm with you on that, and just implicit in your answer though is your belief that whatever changes happen in the tax code and how the impact maybe your tax planning on acquisitions. So your answer just implies that you have the ability to restructure around any adverse changes in the -- come as a result of the tax decrease.
Ian Robertson: Well, maybe I should be crystal clear. I actually don't see any adverse changes and maybe we should if you try to applaud me here let’s parse this out a little bit. I think with respect to mergers and acquisitions and I'm thinking presumably where your question is getting to is, how do the Canadians who or non-Americans perhaps we should say view that tax code in the U.S. obviously as I said for the target businesses that we're acquiring that is the past through and so I don't think -- I think lowering rates is kind of doesn’t have any implications. It's just a lower tax rates it just lowers the rates presumably to those utility customers. I think the benefit that David alluded to in his comments is about how the tax code today provides provisions for non-Americans to be efficient and effective in bringing capital into the U.S. Arguably I might actually argue that as the native tax rate in the U.S. falls, those benefits which we enjoy here in Canada in fact growing proportion, our competitiveness again U.S. competitors and M&A situations will actually get broader or gets stronger as those tax rates fall in the U.S. And so think of it this way maybe just to book and so imagine if the corporate tax rate in the U.S went to zero under a number of the mechanisms we have, we still enjoy a deduction in Canada for our -- for interest which is paid in the U.S. and so think about that from a competitive perspective, it's just a freebie. So I think it’s getting increasingly -- I think lower tax rates don't have any negative implications for all.
Robert: Okay, thanks for that comment and then my second question is on the renewables, you talked about, I agree with the view that society probably still wants renewables no matter what policies come in with the President-elect, but just on an economic basis alone, can you compare how reviewing wind today the cost for new wind project today versus an existing coal plants in some of your key markets and just maybe line that up wind versus the variable cost associated within existing…
Ian Robertson: Sure and at the risk giving you the punch line for our Investor Day putting it directly in context we see that the variable cost right now of operating and I won’t coal plant, let's be very specific and speak of the Asbury coal plant that exists within Empire. Taking into account all of the -- I'll call them fixed cost but you can imagine the labor associated with the oversight administration of that plant is about $35 a megawatt hour, that’s kind of if you took all the cost and divide it by the energy they produce, its about $35 and then we'll say that last year Asbury only operated at a capacity factor under 80% and are forecasting 60% as it struggles to deal with the availability of lower cost wind. So $35 is just a variable cost, let’s forget whenever capital happens to be tied up in the Asbury plant today and albeit with the current existing rolling off PTCs. As you know you can build wind for $22 and the reason I say that is we just commissioned Odell 200 megawatt wind farm for $22 or whatever the PPA rate is there and so I can -- and that includes a return on -- return of the capital. So just based on I think your comment Rob of comparing the variable cost of existing coal plants against the all-in variable and fixed cost of building wind, I see wind win. So that's why I'm saying is we really don't need and that's just today and so I think the opportunity exist today even if the greenhouse gas initiative embodied in the clean power plan go nowhere. So I don't know if that puts some numbers around the expectations Rob.
Robert: Yes, that’s kind of what’s I was looking for just color in the specifics on the economics. Thank you.
Ian Robertson: Yes, we’re going to try to give obviously a little bit more detail on that at our Investor Day so you can get a real sense of why we see there is a significant opportunity to continue to invest within Empire beyond what was forecast at the time of acquisition and to be frank, obviously we saw something there that may be the market didn't see in the context of Empire. Otherwise we would have been -- you would have really questioned the prudence of us acquiring it.
Robert: Okay. Thank you.
Ian Robertson: Yes. Thanks Rob.
Operator: The next question is from Rupert Merer with National Bank. Please go ahead.
Rupert Merer: Good morning everyone. My follow-up on the, the coal plants mine as what’s the expected life of the plants at Empire, how quickly would you like to transition away from those and to wind and if you did so and so long question but what the wind to go in right base you think or to be outside right base?
Ian Robertson: Well, let me start by saying that Empire has fleet as you're aware. I think the most, the easiest one to – to coal plant I mean as well as a fleet of natural gas plant and I think that's important consideration as we kind of launch into the answer to your question, is that the most obvious plant that needs to be considered is Asbury as I was mentioning to Rob's response could tell as question is Asbury was built in 1971 so, starting to get, will say a plan for the certain age. But the reality is that you can keep your 1974 Dodge dart on the road and definitely the question of course is at what cost and I think so, I think frankly plant like Asbury actually reaches the end of its economic use the light before it reaches the end of its physical useful life or permitting a useful life I think, I think as I mentioned to respond to Rob's question is today the, the ratepayers in Empire, the customers of Empire are actually paying a premium over and above the cost of which the energy could be obtained from other sources and particularly wind. I would say that given the relatively attractive wack weighted average cost of capital, the regulated utilities have that the investment in those wind projects should be in rate base I think to compete apples-to-apples the return on return of capital associated with the wind farm would compare very favorably, more favorably than that to under a PPA. And so I think which is really the piece as you're aware of this 60 megawatts of solar that we are in the midst of building in California. This is exactly the fact pattern that was repeated in California for us where were, putting $120 million into a solar plant unabated that we can lower the rates for our customers until we actually see being able to replicate that fact pattern in Empire. I know was that kind of a bit of a confused answer to your question but did I get to that point to…
Rupert Merer: Yes, absolutely as a follow-up to that how important is that to have capacity in your generation you're replacing capacity when replacing energy but maybe not capacity do you need to maintain the capacity within your generation.
Ian Robertson: Well of there certainly we do and you fully understand obviously so the importance of both having capacity in energy of supply in the management of the grid I will just say, having a coal plant is hardly the most effective way to manage the intermittency, which comes with the cheap energy off of the wind farm. We all I think its intuitively obvious that the natural gas fleet that Empire has is the better bedfellow for managing that then try to start and stop a coal plant, it would be oxymoronic to be talking about a peeking coal plant whereas, either the existing natural gas or perhaps even some of these new reciprocating engine natural gas fired generators. That's the great bedfellow for wind to meet the capacity need and so I think first of all then I think Empire has that capacity already in its state line and riverton and other natural gas plants and so its well-equipped to kind of manage that intermittency without the need and support of Asbury so but you’re actually right, you got to do both of those I'm just saying peeking a coal plant is not the right way to do it.
Rupert Merer: Okay. Thanks for the answer.
Ian Robertson: Thanks Rupert.
Operator: The next question is from Ben Pham with BMO. Please go ahead.
Ben Pham: Thanks, just to the rest of annoying guys, want to go back to tax questioning and then inquiries I’m just wondering the, you guys mentioned that the $0.10 potential benefit lower taxes that's wide range of different scenarios you guys looking at but I wanted to check into see in isolation the turning stripping benefit that you could be using. Don't you see that situation as a negative for you guys have corporate tax rates due decline or is it more you don’t really utilize that structure as much for your business?
Ian Robertson: Well let me started by saying, I'll turn it over to David but let me start by saying Ben, you’re right we would never move income from the low tax jurisdiction to the high tax jurisdiction if that's what’s your question is I think we got that one pegged and so we would obviously -- we’re always looking to minimize the tax exposure and if that happens to be in the U.S. rather than in Canada that's what we do but that’s a different question than perhaps you’re opposing David you want?
David Bronicheski: And I think much depends on really what is your assumption or speculation around how much U.S. tax rate potentially can fall and I think it’s start from clear and when we talk about something, benefit to our EPS of somewhere between $0.10 to $.14 I think we’re kind of speculating in that scenario of about a 25% U.S. tax rate from the current 35% that exist today. But much of the, much of the benefits that come from our cross-border financing strategies really a center around the asymmetry that exists in the various tax codes in different countries but there is between Canada and the U.S. well there is between Canada and Ireland and or the Luxembourg in the U.S. and so those things at least that this point in time are un-change but I’ll say just a straightforward reduction in U.S. tax rate so, our tax strategies aren’t really changing and so, I think we just come back to like lower U.S. taxes when you have 90% of your business in the U.S. can only be a good thing.
Ian Robertson: And maybe just to add so, summary to David’s comment. He said our cross border tax strategies are premised on asymmetry and tax codes not asymmetry and tax rates and so that the changing in those rates even if they were made the same doesn't defeat or reduce the value of the structures we enjoyed then. So, we actually don't see that the negative in as David said given there were largely a U.S. company for economic purposes, how can lowering the tax rate never ever be perceived as threatening from our perspective it sounds so good.
Ben Pham: I got you. Get a tax lawyer in here. On the is it should we think about any sort of tax equity implications or maybe at more cash up on the front end and the flip base it earlier that you get some better returns from that side or is it?
Ian Robertson: Well to be frank and I think two things we have to consider, one is obviously the PTCs are on a phase-out program and I think that is why – I think if we were speculating right now, it doesn’t feel like changing what is already a phase-out I feel like changing what's already a phase-out program would be a priority from the administration's point of view. But to be crystal-clear again PTC are really denominated, if you will in absolute dollars in terms of the value per production tax credit and they're not denominated in the context of a tax rate. I think one of the issues obviously is to extent that an organization who is taxable in the U.S. has a lower effective tax rate, their total tax bill goes down and maybe their demand for future PTCs might be decreased. But to be frank, it's a dwindling supply in any event because five years from now, it will be nothing because the PTC will be long gone and wind will be still in my mind effectively competing on the merits of its own economics without support of the PTC. So I think it's a little bit of moot point, Ben just because I think there will be seeing that PTCs are fading to block as we speak.
Ben Pham: Okay. All right. That's helpful. Thanks everybody.
Ian Robertson: Thanks Ben.
Operator: The next question is from Jeremy Rosenfield with Industrial Alliance Securities. Please go ahead.
Jeremy Rosenfield: Just wanted to have one follow up, nobody asked the question, so I thought I'd put it to you, the New York Stock Exchange listing the application for the listing, what do you think about the timing -- what makes the timing right for the listing now, why do you want to put that into place now?
Ian Robertson: I think it's probably two or three rationals and Jeremy as you will recall like this isn’t something new from our perspectives as we spent as much time maybe not quite as much but we spend a lot of time on Wall Street as we spend on Bay Street. But the rationales for it, I say one of them is that – and I had mentioned in my prepared remarks that the preponderance of our employees are in the U.S. and I think there is the difficulty perhaps logistically for them to participate in our employee stock purchase plan for security which is traded on the Toronto Stock Exchange. And so obviously we want to make them that easy for them and empirically we see that difficulty in their relatively low take up rates of our employees in the U.S., in the stock purchase plan as compared to those here in Canada and given that Empire has used its security as an important element of its variable compensations program and we obviously that the Empire employees have obviously then got comfortable and used to owning a piece of the business, they work for, we obviously want to facilitate that, we're obviously trying to make the cultural changes as seamless as possible. And so by providing our shares on the Toronto Stock Exchange or on the New York Stock Exchange, I think we will feel very comfortable for our employees in the U.S. including the new 800 who are joining us from Empire. I think the second business rationale from our perspective in terms of maybe it is the timing is that, there is going to be billion and half dollars worth of Empire shareholders who will be giving cash, who obviously were happy to own an interest in the Empire assets, they form a substantial portion of Algonquin's business going forward. And we would like to provide them in easy and familiar path to follow those assets and so I think being able to be listed on the New York Stock Exchange perhaps have a presence in the U.S. equity capital markets will make that migration easy for them. And then perhaps the last and I will say least important from our perspective is that, I think we have our proposition which is inherently American in nature, I mean our centricity around America is undeniable and so therefore as we think about our business and to whom it appeals, I think we are probably missing an opportunity to bring that business more flexibly to American retail maybe less so to institutional shareholders because they understand the nature of buying shares, I'll call it extraterritorially in terms of the Toronto Stock Exchange. And so but that's got to be, I got to tell you that is the least of the business proposition but it's certainly one that is on the list. So I don’t know Jeremy, if that kind of gives you some insight into why and why now.
Jeremy Rosenfield: No, that makes -- all those reasons make sense. Great. Thank you.
Operator: The next question is from Nelson Ng with RBC Capital Markets. Please go ahead.
Nelson Ng: All right. Thanks, we're close to 11, so I just have one quick question, just in terms of greening the Empire fleet, I guess given that there is already two PPA wind facilities, can you talk about the likelihood or even like the risk that the regulator would force Empire to run a competitive process and award PPAs, which would essentially be outside of the rate base rather than let Empire build it on their own and add to rate base. I was just wondering what the requirement is and what's the rule?
Ian Robertson: Well, I think the short answer Nelson is you got to do what's most cost-effective for ratepayers in any event and I think we were able to establish to the satisfaction of the California Public Utilities Commission that the construction of our solar facility really met that test. And so I think the short answer is that it will be up to us to convince the commission. I think we have the ability to do it that construction of those plants in rate base is just the best way to go. Having said that if we have to participate in a competitive process with other developers then I don't say, bring it on, but we're comfortable in our capacity to do so. We obviously understand the landscape very well. So I must say is these some uncertainty, of course there is Nelson, but I think we have been able to establish a precedent for doing that in California.
Nelson Ng: Okay. Thanks Ian.
Ian Robertson: We will now pause for one minute of silence. Thank you. Are there any further questions on the call this morning?
Operator: There are no further questions registered this time. This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Robertson for any closing remarks.
Ian Robertson: Yeah thanks very much operator and I appreciate everyone's time today and indulgence for recognizing our Remembrance Day and with that, we'll turn things over to Allison for her always scintillating and captivating disclaimer.
Alison Holditch: During the course of this conference call, we may have made statements relating to the future performance of Algonquin that contains forward-looking information, including statements with respect to the expected performance of the company, its future plans and its dividends to shareholders. While these forward-looking statements represent our current judgment based on certain material factors or assumptions, actual results could differ materially from such forward-looking statements made today. Additional information about the material factors that could cause actual results to differ materially from such forward-looking information and the material factors or assumptions that were applied in making any forward-looking statement as well as risk factors that may affect the future performance and results of Algonquin are contained in the results press release and Algonquin's public disclosure documents filed by the company on SEDAR at www.sedar.com. We undertake no obligation to update these forward-looking statements unless required by law. Furthermore, during the course of this conference call, we have referred to certain non-GAAP financial measures including but not limited to adjusted net earnings, adjusted EBITDA, adjusted funds from operations, per cash or per share cash provided by adjusted funds from operations and per share cash provided by operating activities. These non-GAAP measures do not have any standardized meaning under GAAP and may not be comparable with other non-GAAP or non-IFRS financial measures presented by other companies. We refer you to our MD&A for more information about these non-GAAP measures, including a reconciliation of the non-GAAP measures to the corresponding GAAP measures where a comparable GAAP measure exists.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.